Operator: Welcome to the Curtiss-Wright First Quarter 2025 Earnings Conference Call. At this time, all participants have been placed on a listen-only mode and the floor will be open to your questions following the presentation. [Operator Instructions] I would now like to turn the call over to Mr. Jim Ryan, Vice President of Investor Relations.
Jim Ryan: Thank you, Chelsea, and good morning, everyone. Welcome to Curtiss-Wright's First Quarter 2025 Earnings Conference Call. Joining me on the call today are Chair and Chief Executive Officer, Lynn Bamford; and Vice President and Chief Financial Officer, Chris Farkas. A copy of today's financial presentation and the press release they are available for download through the Investor Relations section of our website at curtiswright.com. A replay of this webcast will be available on the website. Our discussion today include certain projections and forward-looking statements that are based on management's current expectations and are not guarantees of future performance. We detail those risks and uncertainties associated with our forward-looking statements, including the impacts of tariffs in our public filings with the SEC. As a reminder, the company's results and guidance include an adjusted non-GAAP view that excludes certain costs in order to provide greater transparency and a curries ongoing operating and financial performance. GAAP to non-GAAP reconciliations are available in the earnings release and on our website. Now, I'd like to turn the call over to Lynn to get things started.
Lynn Bamford: Thank you, Jim, and good morning, everyone. We are off to a great start in 2025 that exceeded our expectations before getting into the details, I would like to say a few words about the momentum that continues to build with respect to our Pivot to Growth strategy and how that translates into value for all of our stakeholders. First and foremost, I commend the team for embracing our strategy and their drive and execution, which has yielded better-than-expected results in both growth and efficiency. As we discussed at our May 2024 Investor Day, we continue to enhance customer engagement while leveraging our strong domain expertise as a highly valued supplier of mission-critical technologies to help solve our customers' most challenging problems. In addition, we are implementing the core principles of our operational growth platform remaining focused on both commercial and operational excellence to expand margins and free up funding opportunities for investments that will accelerate profitable growth across the portfolio. Regarding our improved 2025 outlook, we take pride in meeting our commitments and being the company that investors can rely on to deliver strong results even in the face of macroeconomic uncertainty, whether it was the quick return to providing guidance during the pandemic with minimal margin dilution or the rapid response of our team to the electronic supply chain challenges in 2022. In all cases, our team has responded quickly to adapt as needed and to deliver superior results. This is a testament not only to our strategy but also to our leadership positions in our end markets as well as the people the systems and the processes that we continuously invest in to ensure that Curtiss-Wright is built for long-term success. As a result and in the face of a number of macro level uncertainties, we are confidently raising our overall full year 2025 guidance. With that, I'll turn to today's presentation. Starting with our first quarter 2025 highlights. Sales of $806 million represented an increase of 13% year-over-year or 11% on an organic basis driven by stronger-than-expected growth in our Aerospace and Defense markets. Operating income increased 34% year-over-year once again, exceeding our sales growth and resulted in 260 basis points of overall operating margin expansion. This performance reflected the strong growth in sales, the benefits of our corporate-wide restructuring actions initiated last year to support future growth and efficiency and our ongoing commercial and operational excellence programs. Diluted earnings per share increased 42% year-over-year, which also exceeded our expectations and was primarily driven by our higher A&D sales. Free cash flow, while typically a first quarter outflow reflected a year-over-year increase of 5%, while we continue to support investments across all three segments. New orders increased 13% year-over-year to a record of more than $1 billion and resulted in an overall book-to-bill of 1.26 times. Within our A&D markets, we experienced strong demand for naval nuclear propulsion equipment supporting the US Navy's current and next-generation submarine programs. Orders within our commercial Aerospace markets were mainly driven by higher demand for avionics equipment within our Defense Electronics segment. Within our commercial markets, we continue to benefit from increasing demand for commercial nuclear aftermarket products supporting the upcoming spring outage season, advanced SMRs and the contribution from Ultra Energy. Overall, we reached a new record backlog in excess of $3.6 billion, which provides us great visibility and confidence in our long-term growth outlook. Regarding our full year guidance, we have raised our overall outlook for sales, operating margins and earnings per share and are on track to deliver strong top and bottom line growth this year. We now expect overall sales to increase 8% to 9%, reflecting an improved outlook in the majority of our A&D markets and the strength of our order book. In addition, the organization's continuous strive for commercial and operational efforts is fueling some tremendous margin expansion this year. We now anticipate an increase of 80 to 100 basis points in pursuit of a record operating margin of 18.3% to 18.5%, and we expect to generate these strong returns while maintaining incremental investments in research and development. In addition, we expect to overcome the impact of tariff-related headwinds, which Chris will cover in more detail in a few minutes. Diluted EPS is now expected to grow 14% to 17%. In addition, we raised our free cash flow guide to reflect higher confidence in the full year outlook and continue to expect strong free cash flow conversion. In summary, Curtiss-Wright remains well positioned to deliver another exceptional performance in 2025. Now I would like to turn the call over to Chris to provide a more in-depth review of our financials.
Chris Farkas: Thank you, Lynn. I'll begin on Slide 4 by reviewing the key drivers of our first quarter 2025 performance by segment. Starting in Aerospace & Industrial, overall sales increased 4%, which was slightly ahead of our expectations. Beginning with the segment's defense markets we experienced solid increases in actuation equipment sales, most notably within our aerospace defense markets supporting F-35 and F-18 programs, and also in Ground Defense for the enduring Shield platform. Within the segment's commercial aerospace market, our results reflected solid OEM sales growth supporting increased production on both narrow-body and wide-body platforms. In the general industrial market, our results reflected a modest increase in sales for our industrial automation equipment, which was essentially offset by reduced sales of industrial vehicle products. And turning to the segment's first quarter profitability, operating income and margin were ahead of expectations, growing 15% and 140 basis points, respectively, driven by favorable absorption on higher sales and restructuring savings, as well as a tailwind from FX. Next in the Defense Electronics segment, sales growth of 16% reflected increases in embedded computing equipment sales supporting a variety of C5ISR programs as we continue to benefit from increases in global demand. Within the segment's aerospace defense market, we experienced higher revenues supporting various helicopter platforms, most notably on the Blackhawk in addition to higher sales on the Triton UAV program. While in Ground Defense, our results mainly reflected higher revenues supporting US Army vehicle modernization and replenishment. Regarding the segment's operating performance, we delivered a record first quarter operating margin of 27.5%, mainly reflecting favorable absorption on higher revenues, as well as a shift in mix towards higher-margin C5ISR programs. In addition, we continue to improve the efficiency of our operations to support this business' future growth and further bolster our position as a leading supplier of defense electronics. First quarter profitability also reflected the benefits of our prior year restructuring program to expand our manufacturing capacity, as well as our ongoing operational and commercial excellence initiatives, which are now expected to promote further margin expansion in 2025. Turning to the Naval & Power segment, sales growth of 18% exceeded our expectations, principally driven by higher revenue across several key platforms in Naval Defense. Within this market, our results reflected strong performance and execution on the submarine programs, as well as the timing and acceleration in material receipts from suppliers. In the Power and Process market, our results mainly reflected the contribution from acquisitions driving strong growth in both our commercial nuclear and Process markets. On an organic basis, we experienced high single-digit revenue growth in commercial nuclear supporting the maintenance of operating reactors as well as the ramp-up in development across several SMR designs, including the X-energy and TerraPower advanced reactors. Elsewhere within the Process market, higher domestic MRO valve sales were essentially offset by the timing of large capital projects. Regarding the segment's operating performance, favorable absorption on higher organic revenues was partially offset by unfavorable mix, as well as increased investment in customer-funded development programs supporting future growth in our Naval Defense and commercial nuclear businesses. As a reminder, last year's results included an unfavorable naval contract adjustment that did not recur in 2025. Beyond that and as expected, while it was a strong contributor to our first quarter sales growth, we did experience margin dilution from the Ultra Energy acquisition as we integrate this business into our operations. The sum of Curtiss-Wright’s first quarter results, overall, we generated a strong operating margin of 16.6%, driving 260 basis points in operating margin expansion on the stronger-than-expected top line performance. Turning to our full year 2025 guidance, I'll begin on Slide 5 with our end-market sales outlook, where we now expect total sales to grow 8% to 9%, reflecting 5% to 7% organic growth, mainly driven by continued demand broadly across our A&D markets. Starting in Aerospace Defense, our outlook for 6% to 8% sales growth remains unchanged, mainly reflecting our strong order book for embedded computing equipment on various C5ISR programs. Within Ground Defense, we now expect full year sales growth of 6% to 8%, driven by increased throughput for our Tactical Communications equipment resulting from our recent restructuring actions. In Naval Defense, we now expect full year sales growth of 5% to 7%, based on expectations for higher production revenue on submarine programs following the strong Q1 results, as well as higher aftermarket revenue, supporting overhauls and retrofits on prior generation carriers. Elsewhere, within our Defense Electronics business, we continue to anticipate strong growth in embedded, computing revenues supporting various Domestic and International programs. Looking more broadly across all 3 defense markets, we now expect high-teens growth in direct foreign military sales in 2025, driven by the alignment of our technologies such as C5ISR and resting systems equipment to support increased global defense spending priorities. Turning to Commercial Aerospace, we now expect full year sales to increase 13% to 15%, with the increased outlook fully driven by an exciting new avenue for growth in avionics equipment within our Defense Electronics, building upon our legacy flight data recorder technology used in both Defense and Commercial applications. We're bringing improved cockpit waste reporter solutions to the commercial aerospace market to meet new safety mandates for longer reporting capability. Then we'll provide additional color on these efforts and our opportunities for growth later in our prepared remarks. Wrapping up our aerospace and defense outlook, we now expect total sales in these markets to increase 7% to 9% in 2025. Moving to our Commercial Markets and Power and Process, our outlook for 16% to 18% sales growth remains unchanged and continues to reflect a combination of mid-to-high single-digit organic revenue growth, as well as the contribution from Ultra Energy. Within our Commercial Nuclear market, we continue to expect increased aftermarket sales supporting the maintenance of U.S., U.K., and bulk area reactors as well as a ramp-up in development revenues across several SMR and advanced reactor designs. Next, within the Process Market, we continue to expect solid organic growth, mainly reflecting increased development on subsea pumps. And lastly, in the general industrial we continue to take a lotus approach and anticipated sales to be flat in 2025, where modest growth in Industrial Automation and Surface Treatment services will be offset by reduced sales of Industrial Vehicle products. Of note, the order book for our vehicle products has remained stable over the past five quarters, in spite of ongoing industry headwinds. Wrapping up our total commercial markets, we continue to target full year sales growth of 9% to 11%. Moving on to our full year 2025 outlook by segment on Slide 6, and I am going to begin by discussing the tariff impact on our operations. Of note, approximately 20% of our businesses are currently subject to tariffs. For those areas where we have exposure at the gross level, we estimate -- approximately $30 million in impacts for the remainder of 2025, most of which is related to imports from China. As we instituted in 2018 and 2019, we have tariff mitigation strategies in place, including various pricing and operational actions to improve our competitive positioning and to protect our operating margin. As a result, we expect the 2025 net impact of tariffs to be approximately $10 million above two-thirds within our Aerospace & Industrial segment and one-third in Naval & Power. We're also updating our expectations for the corporate-wide restructuring program that we initially launched in 2024 where we had originally anticipated $15 million in total cost to yield $10 million in annualized savings through operating income by the end of 2025. Due to additional actions being implemented this year, we now anticipate total cost of approximately $20 million, with the increase mainly impacting the Aerospace & Industrial segment, driven by additional facility consolidations. As a result, we now expect approximately $12 million in total annualized savings, the majority of which will recognize in 2025. Regarding the update store outlook by segment, I'll begin in Aerospace & Industrial, where we continue to expect to grow 3% to 5%, reflecting strong growth in our A&D markets and flat sales in general industrial. Regarding the segment's profitability and as a result of potential tariff impacts, we reduced the low end of the guidance range for operating income and margins slightly to reflect our net exposure. In the event that the latest tariffs are lessened or lifted, we still see a path to the high end of our original segment guide, driven by our expectation for higher sales and the savings generated by our restructuring actions. We now project operating income to increase 3% to 8% and operating margin to be flat to up 60 basis points in the range from 17% to 17.6%. Next, in Defense Electronics, we now expect sales to grow 9% to 11%, following the strong first quarter performance and the strength of this business' record 2024 order book, which is driving solid growth across all A&D markets. Regarding the segment's profitability, we now expect operating income growth 15% to 18% and operating margin expansion of 140 to 160 basis points to a new all-time high range of 26.3% to 26.5%. The dramatic improvement in our outlook results from the combination of the higher top line guide, the acceleration of our commercial and operational excellence initiatives and better-than-anticipated savings resulting from our prior year restructuring efforts. And in Naval & Power, we now expect sales to grow 10% to 12%, reflecting increased confidence following the strong first quarter performance in Naval Defense and overall solid growth across the segments, defense and commercial markets. Regarding segment profitability, we now expect operating income growth of 14% to 17% on the higher sales And of note, we're holding our margin guidance despite a tariff impact in this segment, which we plan to mitigate through higher sales, pricing and commercial excellence initiatives. As a reminder, our outlook also reflects the contribution from Ultra Energy, which will initially be dilutive to operating margin in its first year with Curtis-Wright as well as approximately $4 million in incremental investments to support internally funded R&D programs. So to summarize our 2025 outlook, overall, we now expect total Curtis-Wright operating income to grow 13% to 16% and operating margin to range from 18.3% to 18.5% of 80 to 100 basis points. Next, to aid in your quarterly modeling of sales and operating margin, we expect second quarter 2025 sales to grow by high-single digits relative to the second quarter of 2024, reflecting increases in all three segments and most notably, driven by the timing of higher enable defense and commercial nuclear revenues in the enable and power segment. Within the A&I segment, we expect operating margin to be up slightly compared with our second quarter 2024 results, along with strong year-over-year growth and profitability within our Defense Electronics and Naval & Power segments. In summary, at the overall Curtiss-Wright level, we’re expecting high teen second quarter operating margin on strong sales growth. Continuing with our financial outlook on Slide 7 and starting with our EPS guidance. Building upon our strong first quarter performance, we now expect full year 2025 diluted EPS range from $12.45 to $12.80, up 14% to 17%, mainly reflecting improved sales and profitability within Defense Electronics. Aiding our quarterly EPS modeling, we expect second quarter 2025 EPS to reflect low double-digit growth sequentially relative to our strong first quarter results. We then expect modest sequential EPS growth over the remainder of 2025 based on the timing of strong first half revenues with the fourth quarter EPS being our strongest. And lastly, turning to free cash flow. In Q1, while we experienced our typical outflow, we delivered a solid year-over-year improvement of 5%, driven by the strong growth in earnings. Overall, we had a good start to the year, and that provides us with confidence to raise our full year free cash flow projections to a new range of $495 million to $515 million, up 27% over 2024. And as a reminder, our outlook includes an increase in capital expenditures of nearly $20 million year-over-year relative to the midpoint of our guide, as we continue to invest in support of our future growth. Of note, we also remain on track to deliver a healthy free cash flow conversion rate in excess of 105% again this year, which remains in line with our long-term targets. Now, I'd like to turn the call back over to Lynn.
Lynn Bamford: Thank you, Chris. And turning to Slide 8, as we have discussed today, our strategy continues to build momentum, while we remain cautious in light of the uncertain geopolitical and macro economic environment, Curtiss-Wright remains well positioned to deliver strong, profitable growth again in 2025. Our execution during the first quarter is a perfect illustration of how we are focused on managing Curtiss-Wright consolidated portfolio, which in turn supports our revised outlook targeting record financial performance across all major metrics this year. I'm particularly excited about the team's ability to target robust operating margin expansion of 80 to 100 basis points to nearly 18.5% and to generate at least $500 million in free cash flow this year. Overall, the team continues to deliver at a high level in support of our 3-year objectives provided at last May's Investor Day. Next, regarding our capital allocation. Curtiss-Wright maintains a very healthy balance sheet, supporting our disciplined and strategic approach to capital deployment. While we continue to foster significant financial flexibility to pursue acquisitions and continued share repurchase, we're also driving steady investments in our systems and infrastructure which supports the team's efforts to capture positions on both current and next-generation platforms across our A&D and commercial businesses. Finally, as I look across our operations, we remain very well positioned to capture the medium and long-term secular growth trends across our end markets. I'll highlight a few examples and starting with defense, we believe the fundamentals of our industry remain strong, and Curtiss-Wright is poised to grow in all facets of our defense end markets. The passage of the FY '25 budget, even with when considering the full year continuing resolution helps remove some uncertainty while still allowing for a critical new program starts. Further, we are encouraged by the release of the initial FY '26 budget, which includes the benefit of budget reconciliation to drive a total defense spending of more than $1 trillion, which would reflect strong year-over-year growth of more than 13%. Given our alignment across many of the platforms and priorities in those bills, including shipbuilding, missile defense and air superiority, we expect our defense businesses to be well positioned entering into 2026. Turning to our world-class defense electronics portfolio, which remains a growing and very profitable business for Curtiss-Wright, we take pride in being an industry leader leading supplier of commercial off-the-shelf embedded computing technology. We continuously invest in research and development to maintain our technological leadership stay ahead of our customers' needs and speed the delivery of next-generation technology to the battlefield. This includes our alignment to rugged modular open systems approach or MSA based solutions to accelerate the development of leading-edge computing technologies into multi-platform solutions. In addition, through our Fabric 100 product line, this ecosystem of very high-performance processors, network switches, and processing units such as GPU and FPGA modules, bring state-of-the-art expertise to enable faster data communication capabilities for sensor and mission processing applications. Through our recent alignment with NVIDIA, their OEM partner program, Curtiss-Wright is integrated NVIDIA's cutting-edge AI technology into rugged deployable systems that bring commercial innovation to the tactical edge. Today, with the markets we serve, we are the only company to hold the distinction covering the three major competencies: embedded computing, networking and AI reinforcing Curtiss-Wright's ability to meet the growing demand for higher performance and advanced processing solutions across our customer base. Next, in commercial aerospace, and as Chris alluded to earlier, we have traditionally served the aerospace and defense markets with our fortress ruggedized cockpit voice and data recorder solutions, essentially the back box used in aviation. More recently, we build upon our commercial successes and were awarded a contract to support the DoD T-6 Texan primary training fleet. We have also aligned with Honeywell to develop critical technology supporting the 25-hour safety mandate for longer recording capability in commercial aviation, which well exceeds the current standards for only 2 hours of recorded audio. Our jointly developed flight recorder innovation complies with both the FAA and the European Aviation Safety Agency, or ease mandate and allows us to support our OEM customers, including Boeing and others still in pursuit as well as the airlines as they prepare to implement this critical upgrade. In addition, the FAA Reauthorization Act of 2024 applies to both new OEM installations as well as retrofit applications in the U.S., providing Curtiss-Wright with an opportunity to serve thousands of registered aircraft. Further, order activity supporting these efforts has been accelerating since late 2024 and has begun to translate into meaningful revenues for defense electronics this year. Lastly, in commercial Nuclear, we have steadily communicated our vast opportunities for growth in this market and are well positioned to provide continued value to our shareholders over the near, medium and long term. Curtiss-Wright's dedication and expertise to safeguarding existing operating actors provides us with strong immediate opportunities for growth. Beyond the aftermarket, we remain well positioned with Westinghouse and their pursuit to construct new AP1000 power plants globally as they move closer to production orders from Poland and Bulgaria. At the same time, we continue to grow our presence with the leading designers of advanced and small modular reactors as current design and development will begin to translate into prototype and eventually into production units. Overall, Curtiss-Wright's technologies remain well aligned globally to support the entire commercial nuclear life cycle from the new bill to the aftermarket for decades to come. These are some of the many exciting pursuits that we expect to support our Pivot to Growth strategy. In summary, I remain confident in Curtiss-Wright's ability to demonstrate strong profitable growth this year. Our agility as an organization and drive for operational and commercial excellence runs deep, providing confidence and our proven ability to mitigate the impact of economic uncertainty on our financials, while leveraging our record order book and growing backlog to position us to drive strong returns for our shareholders. Thank you. And at this time, I would like to open up today's conference call for questions.
Operator: The floor is now open for questions. [Operator Instructions] Thank you. And our first question will come from Pete Skibitski with Alembic Global. Please go ahead. Pete, your line is open.
Pete Skibitski: I’m sorry. Good morning, Lynn and Chris and Jim. Very nice quarter.
Chris Farkas: Good morning.
Lynn Bamford: Thank you.
Pete Skibitski: I wonder if we could start just a little more specificity on the tariff impact. It sounds like you can mitigate it pretty well. But could you give us some details just in terms of the products impacted and how China plays into it? And the cost side sounds pretty well mitigated. But just on the sourcing, any concerns about sourcing in this tariff environment?
Lynn Bamford: Yes, it is. Thank you for that question, Pete. And it surely is a dynamic situation, but one -- we have really been very purposeful in how we're approaching as a company. Quite a few months ago, we put together a Tiger team, which was very cross-functional to really make sure we understood aspects of our contracts and honestly, optionality we had to try and mitigate the tariffs. And so, we're -- I'm really -- I'm pleased the numbers that Chris put forward of reducing mitigating over $20 million of the potential impact is pretty impressive and it's hats off to the team for being able to do that. There's a lot of hard work that has behind that. And that mitigation comes through a variety of avenues. It's a blend of operational outcomes and how we go about sourcing and supplying products to our customers. We learned a lot back in 2018 and put a lot of flexibility into our operational footprint at that time. So we be prepared. If there was a similar situation and so then we didn't have to start from ground zero. That was really important. And pricing is also part of it. And that is something that we're very purposeful in talking to our customers about and working with them and being fairly transparent and they're willing to work with us largely as we approach some targeted price increases for where we're seeing the tariffs. So, a lot of hard work by the team to be able to achieve what we spoke about during our prepared remarks. And maybe with that, I'll turn it over to Chris to put a little more color on some parts of your question.
Chris Farkas: Sure. So, you heard in the prepared remarks that roughly 20% of our product portfolio is subject to tariff risks. And we kind of break that down as you look across our defense markets, it represents 50% of our business today. Most of that is domestic sourcing. But where it's not, there are tariff exclusions for military products that allow us to affect tariffs are not applied to service revenue today. That's roughly 15% of our total business. And then when we look across our non-U.S. sites non-U.S. customers, today, that's roughly 10% to 15% of our business. So, within that 20%, the greatest pressure is certainly within the Aerospace and Industrial segment, mainly with industrial products like you saw back in the 2018, 2019 timeframe, but then also there's some process product exposure within enable and Power segment. Stepping back and looking at what we're being tariffed on, really not a big impact from Canada and Mexico. The majority of those products are covered by USMCA, nothing material from the retaliatory tariffs and then steel tariff imports are low volume and our largest consumers are really sourced domestic. So, we feel good about the position and our guide in the full year.
Pete Skibitski: Okay. Very helpful. Thanks guys. And just one follow-up. You raised the Commercial Aerospace guide quite a bit for the year. And I'm just wondering was the Boeing kind of return to production and accelerated production post-strike. Was that a part of that? Or was it all kind of the FAA safety mandate in terms of the corner sales there? And I'm just wondering how long should we expect a safety mandate-related sales that kind of to drive revenue for you?
Chris Farkas: Well, maybe I'll start off with the guide and then just in terms of the longevity and I'll turn that back over to Lynn. But I want to be clear, the guidance increase that we made here on the call is entirely on what the new cockpit waste records. We do still have got some conservatism. There's obviously a lot happening in commercial aerospace right now relative to the supply chain. So, we're trying to approach that situation cautiously. But we feel good about being able to increase our guide in this environment, and it's mainly the CBR.
Lynn Bamford: And you're picking up from what Chris just commented on, this is sustainable revenue source for Curtiss-Wright. The FAA mandate give airlines through the end of this decade to do the retrofit. And so we are really at the very beginning of that and its mandate is new production aircraft. And so this is an area that we are continuing to grow and we have a very solid position with Boeing on having received the various certifications for new and retrofit airlines back in the end of 2023, but it takes a while for these things to kick in. We're working very hard to receive certification across the Airbus A320 fleet, and there's a lot of work to going on to receive certification across a lot of the regional jets that are also subject to the mandate. So, this is a very exciting portion of our business that has been building really even in 2024, but it doesn't get talked about a lot, and that's why we really wanted to bring it to the forefront as it really begins to see some really dynamic growth and bring it a bit more to the forefront during the call.
Operator: Thank you. Our next question will come from Kristine Liwag with Morgan Stanley. Please go ahead.
Kristine Liwag: Hi. Good morning, everyone.
Lynn Bamford: Hi, Kristine. Nice to hear your voice.
Kristine Liwag: Thanks. I'm back. Happy to sense the pictures which you guys want, seven months and just blowing Raspberries all day long. She's a raspberries factory.
Lynn Bamford: All right.
Kristine Liwag: So maybe starting on commercial nuclear with the Trump administration and their approach to energy, has their approach on nuclear been more supportive to the degree you were expecting? Or has there been a change? And so I just want to understand the outlook for US nuclear. And then also the second piece is once we get out to the international orders, Poland and Bulgaria. How has this geopolitical environment and uncertainty with tariffs affected their plans to go build new nuclear power plants?
Lynn Bamford: So I would say we were cautiously positive before we moved to the new administration that there would be ongoing support. And that was largely based on the stance as we knew a lot of the cabinet members were very pro-nuclear. And so you could see that, that was in the underpinnings of the people he put around himself. But I think it has played out maybe even better than we would have anticipated. And I give two examples. Secretary Wright was center in both a recent announcement in Poland that was extending their engineering contract to the end of the year, which will really be the final stage before construction contracts are awarded and was front and center with -- in Bulgaria with then declaring the site of their first AP1000 plant and their goal of being the first AP1000 plant in Europe jumping ahead of Poland. So a little bit of a foot race is not a bad thing in our world. And I think every time you see the executive orders that come out in -- across the US about energy dominant, it always includes nuclear in a very positive way. So we feel very good about the support from this administration. And even some of the things about ties to deregulation and making the NRC more efficient will also fundamentally lend themselves to the build-out. So there's a lot of different angles to it, but it's positive from what we see today.
Kristine Liwag: Thank you for that. And shifting gears to shipbuilding. There's a clear shipbuilding emphasis from this administration, but starting out new programs take time and building ships take time. How do you think this plays out? And how does that flow get to you? And when would you start expecting to see significant orders to come through? You are generally in the earlier side of those projects?
Lynn Bamford: Yeah. It's a fair point. These industries don't turn on a dime. I do think it's interesting to see that, obviously, there's great support for shipbuilding and what we see in both the reconciliation bill and the skinny budgets, so to speak, a lot of money for the industrial banks. I think one point that's noteworthy is we commented in our Investor Day back in May of 2024 that we had received $15 million over the prior few years for industrial-based funding. That's up to $21 million as of to date, and we have a lot of money in pursuit. So that's maybe the more immediate here and now, but we also are seeing opportunities to take more share as there's a real push to get the existing fleet more operational opening up some new opportunities for ourselves as well as the ongoing work that we have across Virginia, Colombia, the aircraft carriers and one study that was in the reconciliation bill was putting second Virginia class back in 2027. So that's just a good thing. So it will build over time, but we're very conscious of things we can do in the near term to try and win businesses we build our long-term positions.
Operator: Thank you. Our next question will come from Myles Walton with Wolfe Research. Please go ahead.
Myles Walton: Good morning. Wondering if you could comment on the Defense Electronics margin performance or maybe the absolute EBIT dollar performance. I think the rest of the year is implied to be below the run rate of the first quarter, which would be pretty unusual given your historical tenancy in that segment. Is there anything that was accelerated in the first quarter? Or is this more conservatism for the rest of the year?
Lynn Bamford: So thank you for that question, Miles. I guess I'd like to honestly start and back up for a second and talk about the corporation in total because I think it's important to set the stage about how we're viewing our guidance and the raise that we did put forward is we started the year and I will definitely come to the details of what you asked. So if you give me two seconds, I'm not dodging the question. So we started out with a reasonable amount of conservatism in our initial guide this year. I mean there was talks of tariffs, what was going to happen with the continuing resolution, recession, fears, just a lot of different things going on and some things going on inside the business, specifically in defense electronics with our restructuring and steadying the stage for growth and ERP implementation. So with that, we took a pretty cautionary tone to our guide. And I will say we've raised our guidance by thinking that we can more clearly see line of sight on some of those things, but there's definitely still areas. And Chris mentioned one just a moment ago, where we are still -- we know we have conservatism in our guidance. And whether that commercial aerospace just mentioned a minute or two ago, what's going on in general industrial, with the risk with tariffs and how that's going to play out within defense electronics, we're doing across that group. And we have a lot of big projects going on in Enable and power. And really not been any alarms on any of these things, but we try and make sure we are putting forth numbers that we will be able to deliver on to -- the Street. That's important to us. It's how we operate as a management team. And so with that, there is conservatism across the Board in what we've put forward. But there's also a lot of things that all the ongoing programs around commercial excellence and operational excellence, they're bearing fruit and turning those to talk about defense electronics specifically, there's a blend of things. And maybe I'll ask Chris to speak about a few of the things that are driving the margin. And then I would like to come back and touch on pricing.
Chris Farkas: Yes. So absolutely, we're trying to approach this cautiously as we move through the rest of year. But Myles, specifically, as you look at the Q1 margin and we talked a little bit about the mix that's going on, we're certainly seeing some expansion from commercial and operational excellence. Also in Q1, we had some FX benefits. So we saw -- the US dollar strengthened against key currencies and using our bank -- our five bank forecast, we're looking out across the remainder of the year. We're expecting some of that FX benefit to go away as the dollar weakens against some of those currencies. We expect research and development to ramp as we progress through the rest of year. And then it's important to note, we've talked about this in past calls. The sequential ramp in defense electronics, this team has really been working hard to try to balance that out and do not have it be such a fourth quarter spike. So as you look at defense electronics over the remainder of the year, it will be very modest sequential growth for that segment. So it's really the combination of very modest sequential growth in those other things that I that I just talked about.
Lynn Bamford: Yes. And the last element is meaningful, but want to be very purposeful in how I speak to it is our ability to drive pricing across the products that we provide to our customers in this segment. And we're very focused on delivering a fantastic value to our customers and being a rock-solid supplier that is there for them in all aspects of how they take advantage of our products and work them into their systems and overall solutions. And with that, we launched the operational growth platform back at the beginning of my tenure, commercial excellence was a big part of that, and that's really understanding the value you're bringing to customers and pricing appropriately and keeping in mind competition and a win-win with your customer and all those things. So it's not just all about margin, but it's about charging for the value you bring in. I think the team has done a great job to evolve over the past few years and to be able to understand the value they're bringing and price appropriately. And that's also part of the margins that we're receiving in that team.
Myles Walton: All right. Thanks for the color. And then one follow-up, if I could. The book-to-bill for the company was 1.26. Was there much to be differentiated by segment or if you can just provide both bill by segment?
Chris Farkas: Sure. Yes. Within the Aerospace and Industrial segment, miles, it was a 1.1 times, approximately 1.1 times book-to-bill in the quarter. We had great commercial aerospace orders for the quarter. Within Defense Electronics, it was about a onetime book-to-bill on 16% sales growth, not anything really unusual here. We obviously started off the first quarter with a CR that kind of creates some slowness in terms of the order patterns. But then if you look back at Q1 of 2024. There are some pretty big lumpy orders that had come on and at that point in time for multiyear orders that had come in at that time for potential electronics. So pipeline still looks great as we look ahead. The enabling power 1.6 times book-to-bill very strong naval order quarter. You know that, that can be somewhat lumpy. But I think when you start to take it into context of what we did last year with naval orders, what we're seeing this year, it's really helping to drive our expectations for these very strong first half revenues. A lot of material timing in there, but very strong first half revenues for naval and power this year.
Operator: Thank you. Our next question will come from Jason Gursky with Citi. Please go ahead.
Jason Gursky: Good morning everybody.
Lynn Bamford: Hi Jason.
Jason Gursky: Hey. Good morning. I've been asking everybody this quarter a similar question around the change that's put in Washington, particularly around acquisition reform and the proposal to rewrite bar and DFAs. I'm just kind of curious, if you can maybe step-in and provide some context from your perspective on what you think is in front of us on that front and the implications both for the industry and for Curtis right, in particular, is just going to end up being a positive, a negative, or kind of neutral. I'm just kind of curious, how you're thinking about the prospects of what seems to be pretty significant efforts to reform the way that the government is going to buy goods and services going forward? Thanks.
Lynn Bamford: Thank you for that question. It's definitely something there's been a lot of activity in and so, a lot of executive orders, and many of them very good and aligned, broadly speaking, before we talk specifically about acquisition -- around shipbuilding and energy production in all areas that should be really strong forces for Curtiss-Wright's growth going forward. I think it's interesting. I -- as we are digging into this, I very much feel it's going to be a strong positive for Curtiss-Wright. And there's a couple of avenues of that. A lot of where the focus has been is the large cost-plus type contracts that keep growing in size. Curtiss-Wright is almost exclusively a firm-fixed price contracting across our defense work. And that's very much where there's pushes to move to, one of the things that's buried down in those executive orders, we're comfortable taking business in that approach, and we deliver great value. And I always want to make that point that I really do know that we provide a great value to our government for the contracts that they afford to get to Curtiss-Wright. And so that's the most fundamental basis of saying why I think we will win. But that's one of the pushes, and that's how we like to do business. Another big focus out of some of the EOLs is a push towards more commercial practices and more commercial buying practices. And really, our Defense Electronics segment -- that is, they go to market commercially. So we very much have, -- know how to go about working commercially with the government and know how to do that. And I think it's great to see that there'll be more buying practices pushed in that direction. And we'll look to see where else in our portfolio, we can leverage commercial pricing and drive more business that way. And I think it will be great for the customer, great for our Defense Department and great for Curtiss-Wright. And so those are two things. The other thing that's in there is something that's called the OTA or the Other Transaction Authority. And that's an area where Curtiss-Wright -- we don't have an extensive experience in it, but we absolutely have worked or setup through the partnership to be able to take OTA money. And we absolutely are seeing that part of the executive orders, and building out to make sure we're ready as money flows through those OTAs that we have the fundamental relationships that we're able to take those types of partnerships. So I do -- I feel that -- I feel proud of the value we bring to the Department of Defense for what we do. And I think as they look to drive efficiencies and value fundamentally in how they spend their money. I think Curtiss-Wright, we'll be at the forefront of winding for that.
Jason Gursky: That’s helpful. Appreciate it. Thanks. I’ll leave it there
Lynn Bamford: Thank you.
Chris Farkas: Thank you, Jason
Operator: Our next question will come from Louie DiPalma with William Blair. Please go ahead.
Louie DiPalma: I was wondering you discuss your exposure to different drone platforms with the [indiscernible]
Chris Farkas: Yes, sorry, we're not able to hear you. Would you mind repeating that?
Lynn Bamford: You're just kind of coming through mumbled. I am not sure what's going on with the line. So sorry about that, Louie.
Operator: Okay. We'll move on next to Nathan Jones with Stifel. Please go ahead.
Nathan Jones: Good morning, everyone.
Chris Farkas: Hey, Nathan.
Nathan Jones: Hey, good morning. Just a couple of follow-up questions. You said the commercial aerospace guidance was raised solely on that voice recorder incremental business that you're winning. I think it works out to be about $12 million or something for 2025. But you also talked about this being the very beginning and extending out to at least the end of this decade. Can you give us a bit more color on what you think that the market potential there could be over the next few years? Obviously, it's -- I would imagine it's growing fairly quickly given that you're right at the start of that.
Lynn Bamford: Yes. I mean we are definitely on -- clearly as part of our forecast in the beginning of the year. And as Chris said, it was the entirety of why we raised our commercial aerospace as we're getting more clarity with our partnership with Honeywell and how the ramp is beginning to become visible. And it's a little -- there's still some undetermined. It's going to continue to grow for many years to come. And we're in the work of -- we're in the process of getting certification across the Airbus platforms that will happen probably in 2026. So that's still a future dynamic that's coming and across some of the regional jets. So it's a little hard at this point until we've really sized the opportunity and figure out who all -- where we're going to win and have content to put a dollar figure to it. But I think we're -- I will agree with you, we are at the very beginning of what's going to be a long, steady ramp for that product family.
Nathan Jones: Fair enough. I'll ask you again in a couple of quarters' time. Defense Electronics margins, I know you got asked about the progression through the year. It's obviously significantly higher than where you started. And then based on all of the things you talked about, it doesn't sound like any of those are onetime in nature for 2025, your commercial excellence restructuring higher levels of volume that don't like the going away either. There's no reason why we think there's any step down next year or something like that in the Defense Electronics margin. This is kind of a new higher baseline that we're starting from now? And then maybe you could just comment on what kind of incremental margins we should expect in that business? Thanks.
Lynn Bamford: So I can -- I'll ask Chris to add little more color on the Defense Electronics margins. But we're really not putting forward a prediction for 2026 at this time. And I can appreciate the question and wanting to know. But we're going to take it a year at a time, and we have our current guide. We've updated that, and we feel good about it. But I would agree, there is not a onetime thing in that across our product portfolio, but we really do like to afford ourselves the flexibility to invest as we see a strong return for the company going forward. And so that's really the caution around trying to lock in or foreshadow margins coming in and out here.
Chris Farkas: Yes. And I would just say in terms of incremental margins for that segment, R&D investments or other things that we're doing. You're going to see that in that 30% to 35% range. I mean that is the growth grow your top line and free up that funding for investment beneath, right? So team is doing a great job. And all those things you talked about are absolutely things that we're excited about and see as we look out into the future.
Nathan Jones: Thanks very much for taking my questions.
Lynn Bamford: Thank you, Nathan.
Operator: Thank you. [Operator Instructions] and we'll move next back to Louis DiPalma with William Blair.
Q – Louis DiPalma: Lynn, Chris, and Jim, good morning. I hope you can hear me more clearly this time, but I was just wondering how are the SMR content partnerships progressing?
Lynn Bamford: So thank you. And yes, you're coming through loud and clear. So glad we could get your question. So it's -- they're definitely progressing. And I think you made reference ramping development dollars across TerraPower and X- energy for some of the projects we're working on there. And that's just indicative of we're ever becoming more clear where we're going to bring products to market with them or work with Rolls-Royce from the Ultra Energy acquisition. We talked about that being critical to helping us even extend our partnership with them, that is going very well. So it's all steady as she goes, and we're beginning to be able to more clearly see the design to take form and line of sight that we will be moving to prototyping here in the next 12, 24 months and working with them to get their first plants online. So it's exciting.
Q – Louis DiPalma: Thanks a lot. That’s it for me. Thanks, Lynn.
Lynn Bamford: Thank you, Louis.
A – Chris Farkas: Thank you.
Operator: Thank you. Our next question will come from Myles Walton with Wolfe Research. Please go ahead.
Q – Myles Walton: Thanks for the follow-up. Lynn, you mentioned Westinghouse's press releases in the last week or two regarding Poland and Bulgaria. And one of the debates that Westinghouse referred to was the engineering procurement and construction agreement by the end of 2025. If that time line stuck, would you expect to have a construction contract of your own by the end of 2025 or early 2026?
Lynn Bamford: Yes. I mean we're -- I think I'm really pleased to be able to tell you, we -- three years ago, started to see in three to five years and have whittled that down. And we're very much saying we expect in order in 2026 at some point in time. And by the end of the year, but it could come midyear. So I feel like we're -- we believe we're triangulating in on that time frame, but I wouldn't say by the end of this year.
Q – Myles Walton: That’s was it. Thanks so much.
Lynn Bamford: Thank you.
Operator: Thank you. And at there are no further questions. I'd like to turn the floor back over to Lynn Bamford, Chair and Chief Executive Officer for additional or closing remarks.
Lynn Bamford: Thank you, everyone, for joining us today. We look forward to speaking with you again on the road or at our next quarter results call. Thank you. Have a great day..
Chris Farkas: Thank you.
Operator: Thank you. This concludes today's Curtiss-Wright earnings conference call. Please disconnect your line at this time, and have a wonderful day.